Operator: Good afternoon, and welcome to the Enova International Second Quarter 2022 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Lindsay Savarese, Investor Relations for Enova. Please go ahead.
Lindsay Savarese: Thank you, operator, and good afternoon, everyone. Enova released results for the second quarter 2022 ended June 30, 2022, this afternoon after the market closed. If you did not receive a copy of our earnings press release, you may obtain it from the Investor Relations section of our website at ir.enova.com. With me on today's call are David Fisher, Chief Executive Officer; and Steve Cunningham, Chief Financial Officer. This call is being webcast and will be archived on the Investor Relations section of our website. Before I turn the call over to David, I'd like to note that today's discussion will contain forward-looking statements, and as such, is subject to risks and uncertainties. Actual results may differ materially as a result from various important risk factors, including those discussed in our earnings press release, and in our Annual Report on Form 10-K, quarterly reports on Form 10-Q, and current reports on Form 8-K. Please note that any forward-looking statements that are made on this call are based on assumptions as of today, and we undertake no obligation to update these statements, as a result of new information or future events. In addition to US GAAP reporting, Enova reports certain financial measures that do not conform to Generally Accepted Accounting Principles. We believe these non-GAAP measures enhance the understanding of our performance. Reconciliations between these GAAP and non-GAAP measures are included in the tables found in today's press release. As noted in our earnings release, we have posted supplemental financial information on the IR portion of our website. And with that, I'd like to turn the call over to David.
David Fisher: Good afternoon, everyone. Thanks for joining our call today. I will start with an overview of our second quarter results. Now I'll discuss our strategy and outlook for the remainder of 2022. After that, I'll turn the call over to Steve Cunningham, our CFO, who will discuss our financial results and outlook in more detail. In the second quarter, we once again delivered solid top and bottom line results driven by strong demand and stable credit across all of our products. Revenue in the second quarter increased 54% year-over-year and 6% sequentially to $408 million. Adjusted EBITDA was $102 million and adjusted EPS was at $1.64. We are committed to producing sustainable and profitable growth and are pleased with our continued execution on this front. Despite some turbulence in the macroeconomic environment, including elevated inflation and recession concerns, our customer base remains stable with better than expected demand and continued strong credit reform. I know these results will come as a surprise to some, but the macro trends for our target customers remain positive. Non-prime customers are actually on pretty solid footing with strong wage growth, particularly at lower income levels and excess saving levels of $2 trillion to $3 trillion in total according to Barker [ph]. More importantly, the labor market remains hot. The latest data from the Bureau of Labor Statistics shows that there were more job openings than people seeking jobs for the first time ever. In addition, the unemployment rate remains historically low and wages are growing. While real wage growth has been negative the last couple of months, because of elevated inflation, it remains very positive over six months, one year and five-year period. At a more focused level, the electronic bank statement data, we obtained, shows a meaningful increase in our customers' monthly income over the past year. The electronic bank statement data also shows healthy spending as consumers still have savings accumulated during the COVID pandemic and appear to be trying to make up for lost time by increasing their spending in dining, travel and clothing. Despite the higher savings in wages, many of our customers still live paycheck-to-paycheck and have temporary dislocations between their earnings and expenditures. As we've mentioned before, low unemployment plus inflation generally mean consumers may need loans for additional capital, but have earnings to pay those loans back, and as the result demonstrate, our customers continued to manage well through the current rise in inflation. Looking forward, while the economy could dip into a recession and possibly already have, recessions tend to have less of an impact on our customers than on prime borrowers. They are experienced in living paycheck-to-paycheck and are able to quickly adjust their finances as needed. As for our SMB customers, the surge in consumer spending, I mentioned, is helping small business and businesses have been able to pass along price increases bolstering the bottom line and creating a strong credit environment. So while we feel very good about the performance of our customers in this current environment, we are cognizant of the fact that economy could continue to deteriorate. As a result, we are taking a more balanced approach between growth and risk at the moment. While we always keep a sharp focus on credit in late 2020, we began aggressively increasing our origination from the other pandemic, and by Q2 of 2021, our focus was to grow as fast as prudently possible given the strong demand we were seeing, very strong credit metrics and supportive macroeconomic environment. But beginning in late Q1 of this year, we shifted our focus of credit performance on a more even plan with growth. As you can see from our origination growth in Q2, this does not mean we are retracting but it does increase the resiliency of our portfolio. We do this by increasing our ROE targets across our products. In Q2, our ROE was more than double on weighted average cost of capital, showing that we have plenty of room for credit performance to deteriorate while still generating healthy returns. And finally, the high payment frequency and relatively short duration of our portfolio provides fast feedback that we incorporate into ongoing decision-making, enabling us to act quickly as the economic environment changes. The result is that credit quality remains strong with net charge-offs of 7.2% in the second quarter compared to 7.6% in Q1. Notably, net charge-offs remained well below pre-COVID levels of 11.8% in Q2 of 2019 and 12.4% in Q2 of 2018. Total originations for the second quarter totaled just over $1 billion, up 5% sequentially from an unusually strong Q1, and up 60% compared to our second quarter of 2020, while our portfolio grew 68% to nearly $2.4 billion. Our marketing efforts have been highly effective, as originations from new customers of 42% of total origination. The strong new customer growth we have seen over the last several quarters provides a big tailwind as those customers return for additional credit over time. We're encouraged by this growth, as returning customers with a successful history of in performance typically default at a much lower rate than new customers. As we've discussed in depth, our highly diversified portfolio provides us additional protection against changes in the macroeconomic and regulatory environment and changes in the competitive environment. In the second quarter, small business products represented 57% of our portfolio, while consumer accounted for 43%. Within consumer, line of credit products represented 30% of our consumer portfolio, installment products accounted for 69% and short-term loans are now only 1%. We continue to expect the mix between consumer and small business to fluctuate over time, based on both macroeconomic factors and seasonality. We continue to see strength in small businesses that have been beneficiary to the economy reopening after pandemic. Q2 small business originations were 3% higher than Q1 and credit performance in the portfolio remains strong. We do continue to analyze real-time cash flows, as well as external data to monitor industries that are more prone to recession and over the last couple of quarters, we have been pulling back on a few recession-prone industries like construction and transportation.  As we have discussed previously, we have demonstrated a prudent approach to growing our small business. Looking further out, we believe we are competitively well positioned given the strong brand preference and diversity of our portfolio. And success of the On Deck acquisition continues to exceed our expectations. We delivered on our divestiture strategy this year that we communicated at the time of the acquisition to monetize our investments in ODX, On Deck Canada and On Deck Australia. These transactions will enable us to focus our resources on our core consumer and small business brands in the US and Brazil. In sum, we've been successful through a number of economic cycles, including the -- great recession and the onset of the COVID pandemic. Our success is a testament to the strength of our proprietary technology and analytics and our extremely talented employees. In addition, our diversified product offering provides additional resiliency in our portfolio as more diversified than ever. We continue to see solid momentum across Enova with a very strong start to Q3 originations and continued stable credit. We will, as always, manage the business to drive profitable growth and believe that our highly flexible, online-only model, extensive track record of navigating different market conditions, strong balance sheet and talented team will drive our performance in the years to come. Now I would like to turn the call over to Steve Cunningham, our CFO, who will discuss our financial results and outlook in more detail. And following these remarks, we will be happy to answer any questions that you may have. Steve?
Steve Cunningham: Thank you, David, and good afternoon, everyone. As David noted in his remarks, we delivered another solid quarter of top and bottom-line financial performance as our team leveraged our diversified product offerings, machine learning-powered credit risk management capabilities and effective marketing to drive meaningful growth, while maintaining solid portfolio credit performance and attractive unit economics.  Turning to our second quarter results. Total company revenue for the second quarter rose 6% sequentially and increased 54% from the second quarter of 2021 to $408 million. The increase in revenue was driven by the continued growth of total company combined loan and finance receivables balances, which on an amortized basis were $2.4 billion at the end of the second quarter, up 10% sequentially and 68% higher than the second quarter of 2021. As David noted, total company originations for the second quarter totaled $1.1 billion, up 5% sequentially and 60% higher than originations during the second quarter of 2021. Originations from new customers remain strong, totaling 42% of total originations and as our marketing activities remain highly effective. Small Business revenue increased 13% sequentially and 75% from the second quarter of the prior year to $150 million. Small business receivables on an amortized basis totaled $1.4 billion at June 30, a 13% sequential increase and 75% higher than the end of the second quarter of 2021, as small business originations increased 70% from the prior year quarter to $679 million. Revenue from our consumer businesses increased 2% sequentially and 45% from the second quarter of 2021 to $253 million. Consumer receivables on an amortized basis ended the second quarter at $1 billion, up 6% from March 31 and 59% higher than the end of the second quarter of 2021, as consumer originations rose 74% from the prior year quarter to $410 million. Looking ahead, we expect the sequential growth rate in total company revenue for the third quarter to be slightly higher than the sequential growth rate for the second quarter. This expectation will depend upon the timing, speed and mix of originations growth. As expected, the net revenue margin for the second quarter was 65% as credit quality, which is the most significant driver of portfolio fair value, continues to perform in line with our expectations. The change in fair value line item included two main components, net charge-offs during the quarter and changes to the portfolio's fair value, resulting from updates to key valuation inputs, including future credit loss expectations, prepayment assumptions and the discount rate. I'll discuss both items in more detail. First, the total company ratio of net charge-offs as a percentage of average combined loan and finance receivables, the second quarter was 7.2%, down from 7.6% last quarter, and up from 2.4% in the second quarter of 2021. The second quarter net charge-off ratio for small business receivables was 2.2%, up from 1.9% last quarter and 70 basis points in the second quarter of 2021, but below pre-pandemic periods as we continue to see strong payment performance across all of our small business products. The consumer net charge-off ratio for the second quarter declined to 13.7% from 14.2% last quarter and is higher than the 4.6% ratio in the prior year quarter which preceded the acceleration of growth in consumer receivables over recent quarters, especially from new customers. The percentage of total portfolio receivables past due 30 days or more was 5.1% at June 30, down from 5.2% at March 31, and lower than the 5.7% ratio at the end of the second quarter a year ago. A decrease in the consumer portfolio's 30-plus day delinquency ratio drove the sequential decline. As a result of solid credit performance and a stable outlook for the expected lifetime credit performance of our portfolio, the fair value of the consolidated portfolio as a percentage of principal at June 30th increased slightly from March 31st to just over 107%. As we've noted in our 10-K, the portfolio's fair value is most sensitive to changes in the expected lifetime credit performance of our receivables. Our analytics team forecasts expected lifetime credit loss expectations for our products using estimation methods and machine learning powered models, that have been the foundation of our ability to successfully manage credit risk over the life of our company. The cumulative lifetime credit loss estimate is a critical input for both our unit economics that drive decision-making as well as our initial fair value calculations for new vintages. For previously originated vintages, the cumulative lifetime loss estimate is updated each quarter in order to calculate the current fair value for the remaining receivables. These lifetime loss forecasts and related fair value estimates received significant review and validation internally from senior management and our analytics, accounting and model risk teams and externally by our external auditors from Deloitte who have built their own models to test the accuracy of our fair value calculations each quarter. As we've noted for several quarters, the credit performance of our portfolio has been in line or better than our expectations. This would lead to stability or improvement in the cumulative lifetime loss estimates for the portfolio using the aforementioned highly controlled estimation process, stability or improvement in the cumulative lifetime loss estimates for the portfolio, all things being equal, would result in stability or improvement in the fair value premium as a percentage of principal. Even with $4.1 billion in originations over the past year and record levels of new customer originations, this quarter marks the third consecutive quarter that the fair value premium as a percentage of principal for both our consumer and small business products has increased as payment performance for both portfolios continues to be in line or better than our expectations. In addition to future credit loss expectations, every quarter, we also evaluate discount rates and other key valuation assumptions used in our fair value models. As a result of this analysis for the second quarter, we increased discount rates used in the fair value calculations by 25 basis points for most of our products to incorporate observed market information. To summarize, the change in fair value line item this quarter is driven, primarily by improved levels of net charge-offs, slightly higher discount rates and credit metrics and modeling at the end of the second quarter that continue to reflect a solid outlook for expected future credit performance for our growing portfolio. Looking ahead, we expect the net revenue margin for the third quarter of 2022 to be similar to the second quarter net revenue margin. Our future net revenue margin expectations will depend upon portfolio payment performance and the timing, speed, and mix of originations growth. Now, turning to expenses. Total operating expenses for the second quarter, including marketing, were $168 million or 41% of revenue compared to $129 million or 49% of revenue in the second quarter of 2021. Our operating expenses this quarter reflect increased marketing spend from solid customer demand that drove stronger-than-expected originations as well as continued scaling of our fixed costs. Marketing expenses totaled $92 million or 22% of revenue, compared to $55 million or 21% of revenue in the second quarter of 2021. As a reminder, under fair value accounting, we recognized marketing expenses in the period they are incurred instead of deferring a portion and recognizing them over the life of the loans as we did prior to 2020 and as many in the industry still do today. Looking forward, we expect marketing expenses as a percentage of revenue to be in the low 20% range for the rest of the year but will depend upon the growth in originations, especially from new customers. Operations and technology expenses for the second quarter totaled $42 million or 10% of revenue compared to $35 million or 13% of revenue in the second quarter of 2021. Given the significant variable component of this expense category, sequential increases in O&T costs should be expected in an environment where originations and receivables are growing and should range between 10% and 11% of revenue. General and administrative expenses for the second quarter totaled $34 million or 8% of revenue compared to $39 million or 15% of revenue in the second quarter of 2021. While there may be slight variations from quarter-to-quarter, we expect G&A expenses as a percentage of revenue to remain below 10% as these expenses scale with growth through the remainder of 2022. We recognized adjusted earnings, a non-GAAP measure of $55 million or $1.64 per diluted share compared to $1.67 per diluted share last quarter and $2.26 per diluted share in the second quarter of the prior year. We ended the second quarter with $232 million of cash and marketable securities including $144 million in unrestricted cash and had an additional $803 million of available capacity on $2 billion of committed facilities. As we announced earlier in the month, during June, we increased our funding capacity by $550 million. We closed a new two-year $420 million small business securitization warehouse with two new bank lenders that is priced at 271 basis points over the applicable base index and will support funding small business customer demand. In addition, we increased the capacity of our existing secured revolving corporate credit facility, which is used for working capital and other general business purposes by $130 million to $440 million. The maturity of the facility was extended to June 2026 and is priced at SOFR plus 350 basis points. These new committed facilities further enhance our solid liquidity profile and financial flexibility and the attractive terms reflect the solid credit performance of our portfolio and strength of our bank partnerships. Our cost of funds for the second quarter was 5.8% versus 7.8% for the second quarter of 2021. Currently, our marginal cost of funds ranges from approximately 2% to 6% and depending on the facility utilized, demonstrating our confidence in the continued strength of our business relative to our current valuation. During the second quarter, we acquired 743,000 shares at a cost of approximately $25 million. At June 30, we had 47 million remaining under our $100 million share repurchase program. Our solid balance sheet and ample liquidity give us the financial flexibility to successfully navigate a range of operating environments and to continue to deliver on our commitments to long-term shareholder value, through both continued investments in our business as well as share repurchases. To summarize our third quarter outlook, with continued strong customer demand and meaningful growth in originations and receivables, we expect revenue to increase sequentially at a slightly higher rate than the second quarter sequential rate. As we continue to see strength in both consumer and small business credit metrics across our portfolio, we expect the total company net revenue margin will be similar to the second quarter. In addition, we expect marketing expenses in the low 20% of revenue and continued scale in our fixed costs with growth. These expectations should lead to adjusted EBITDA margins in the mid-20% range. We also expect quarterly year-over-year increases in adjusted EPS to resume in the third quarter of 2022. Our third quarter expectations will depend upon the timing, speed and mix of originations growth. We remain confident that the demonstrated ability of our talented team has us well positioned to adapt to the evolving macro environment, a resilient direct online-only business model, diversified product offerings, nimble machine learning-powered credit risk management capabilities, a solid balance sheet support our ability to continue to drive profitable growth while also effectively managing risk. And with that, we'd be happy to take your questions. Operator?
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question is from David Scharf with JMP. Please go ahead.
David Scharf: Hey, good afternoon. Thanks for taking my question. You know what – I had the usual laundry list of generic questions on credit, which everybody seems to line up with these days. And you addressed a lot of them proactively. But maybe looking ahead, though, David, a couple of things I was curious about. And it's really sort of how -- what levers get pulled first, I guess, if we do see some deterioration in credit quality, whether it's from inflation finally some loosening in the labor markets or whatnot? And can I start with the new customer concentration? I can recall a few years ago, when the percentage of originations from new customers or new borrowers I think it reached 30%, and that was kind of called out as sort of a milestone that now it's north of 40%. If you start to see any kind of stress on payment rates, is that usually sort of the first thing you pull back on just the percentage of new borrowers you take on, or is that kind of too simplistic? Is it a much broader sort of tightening of underwriting?
David Fisher: I mean, at a high level that is correct. I mean, it obviously is much more complicated than that. So it is a bit simplistic. It doesn't mean we don't do anything on the existing customer side. But yeah, you tend to take more action with new customers, because there is more risk there. And you do it by – I mean, there's two ways, there's two ways you're doing at pulling back on marketing, especially your least efficient marketing. So at least the customers you're bringing on have higher ROE targets, or higher expected ROE, and then tightening on credit, we can do both. But I think it's important when you're comparing to a few years ago, yeah, when 30% new customers kind of was at the high end, is our mix has changed significantly. So NetCredit is a much bigger portion of the business. And with longer-term loans and SMB is a much bigger part of the business also with longer loans where there's fewer refis. And I think most importantly, just as importantly, single pay, where there was a lot of refinances and rollovers where new customers became returning customers very quickly that is a miniscule portion of our business now sub 1%. So – that's largely been replaced by line and credit business, where you don't – those customers stay as don't become repeat customers until they completely pay off their lines and take on a new line. So some of it is, some of it is mix, but we clearly have lots of levers to pull when we're seeing if and when we see credit deteriorate. And we see it very quickly, right, because of high payment frequency across all of our – even our longer-term products, I mean, the average duration of those products is kind of at two years is on the near prime side. Everything else is below a year. So we have very high payment frequency in very short one, so we can act very, very quickly.
David Scharf: Got it. And listen, I certainly don't expect you to comment on specific competitors or other lenders. I mean, during this reporting season, we are caring about, in contrast to your experience, increasing delinquencies among subprime auto, some other subprime unsecured lenders. And just to make sure I kind of heard correctly, I mean, is there anything in the month of July, just as post Q2, just with respect to 30 more days of exorbitant gas prices? I mean, is there anything in the electronic bank data or otherwise, that this suggest any change in behavior among your – 
David Fisher: Let me answer the second part first, let me go back to some of the competitors. So no, if anything, I would say things look a little better even in July. So business is looking very, very good. Look, subprime auto, you just got to put in a separate bucket. It's an entirely different business driven by different factors, largely like the price of cars. I mean, we've seen over the years, there's almost no correlation between subprime auto lenders and unsecured new prime subprime lenders. But look, it's not all bad news. There are kind of near prime, prime lenders that have reported today that reported very good credit data. So a couple of data points where people struggle a little bit and some other data points where people are doing really, really well. So see how the rest of the reporting season goes. But Look, I mean, we look at the data in so many detailed ways 10 times level deeper than we report publicly. And credit is looking great across our products right now.
David Scharf: Got it. Fair enough. And last question, another one that's a little tough to answer with a perfect quantification. But as we think about the balance between the ROE that you're currently delivering, particularly on the higher-margin consumer loans versus SMB, versus buying back your stock at these levels. Is there a certain multiple or just benchmark stock price, where it just becomes a no-brainer to allocate more capital towards buying back the shares, even if you're seeing no deterioration in credit or marketing efficiencies
David Fisher: Yes. I mean, for sure. I think -- yes, I mean, for sure, I think at these levels, we are excited to buy back our stock, and we have been when the stock was at these levels. And this time, a little later last year, we were really aggressively buying back our stock. And the only thing that really holds us back from buying more is our bond covenants, which limit how much of our net income we can use each quarter to buy back our stock. So we've been aggressive buyers of our stock, and we'll continue to be anything around these levels -- near these levels, continue to be aggressive buyers of our stock.
David Scharf: Got it. And just one -- 
David Fisher: With the $1 billion -- with the billion -- one other-- with $1 billion of liquidity, we don't have to make that choice. We can do both.
David Scharf: Right, right, right, right. I mean, obviously, 20-fold factor of borrowing capacity versus the authorization. Just lastly, can you just remind me what the covenant caps -- ? 
David Fisher: Basically, 50% of net income is kind of the easy way to think about it.
David Scharf: Okay. Got it. Perfect. All right. Well, thank you.
David Fisher: Yes, absolutely.
Operator: The next question is from John Hecht with Jefferies. Please go ahead.
John Hecht: Hey, guys. Congratulations on a good quarter. Just a little tag onto Dave's question [indiscernible] business versus the business [indiscernible] on the new small business side versus the consumer supply? There’s -- or are they pretty -- more in the mix in that regard?
David Fisher: Yes. I mean, you broke up a little bit, John, but I think I get your question, like, kind of, capital allocation between small business and near the -- and the small business or consumer. We love both businesses. We love being diversified. And again, with a $1 billion-ish of liquidity, we don't have to make a choice of capital allocation, we can grow both as fast as makes sense, given our ROE target. So the [indiscernible] the treasury team has done a terrific job, making sure our balance sheet is super strong. So we're not having to make tough choices between two businesses that are doing really well right now.
John Hecht: I appreciate that. Actually, the question was -- I apologize if I'm having a bad signal here, but the question was more tied to the mix of new versus recurring customers, is it similar in both those segments, or is that -- or is there…
David Fisher: Yes. It's totally different by product, not even by segment. I mean, if you look at installment loans versus line of credit, some of that is just what we call new versus returning line of credit products versus installment products. But at a high level, sub-prime has the fewest number of new customers, just because there are so many recurring. Near-prime has the most, just because they're longer term -- they're longer loans. So you're not bringing back as many returning customers, and small businesses in the middle.
John Hecht: Okay. And then you guys have done a good job obviously really growing the originations this year without really sacrificing credit. Is there anything on the customer acquisition front, whether it's immediate – whether it channels of marketing or customer acquisition costs that are worth calling out to us?
David Fisher: No. I mean we have -- I think as you know, we really diversified our marketing channels as well, not only our products, but our marketing channels over the years. They used to be very, very lead focused historically then they become really direct mail focus. And now we've really strengthened our capabilities both in TV, another broad-based media as well as digital. So they certainly fluctuate across products and fluctuate from quarter-to-quarter, but it is a pretty diversified marketing mix at this point.
John Hecht: Okay. Great. Thanks very much guys.
David Fisher: Yes. Thank you.
Operator: [Operator Instructions] The next question is from John Rowan with Janney. Please go ahead.
John Rowan: Good afternoon guys.
David Fisher: Hey, John.
Steve Cunningham : Hey, John.
John Rowan: So I think the guidance, if I correct me if I'm wrong, was that year-over-year EPS growth will resume in the second quarter, correct?
Steve Cunningham : That's right.
John Rowan: Does that apply for the fourth quarter as well, or is that just second quarter?
David Fisher: Third quarter.
Steve Cunningham : Yes.
John Rowan: I'm sorry. It was just the third quarter, that's not the fourth quarter, correct?
Steve Cunningham : That's correct.
John Rowan: Okay. Do we -- obviously, this quarter is the first quarter where we've seen the gross profit margin kind of in line with the long-term guidance of was it 55% to 65%. Are we still -- is that still a good range? I just want to make sure there's no update to kind of that range?
Steve Cunningham : Yes, John, I think that's still the right range. I mean if you look across the different products, just given what we've done with consumer, it's a little -- it's a touch below like our more normal range, but we've also seen strong growth and a high mix of new customers, as David mentioned, in small business credit has really continued to drive a high net revenue margin for small business, which I would expect to settle in somewhere between the low 60s to low 70s. So still think the 55% to 65% is a good range. And as we move -- continue to move forward, if we're in a more normalized environment, you'll see those two product segments settle in at their more normal ranges.
John Rowan: Okay. Thank you very much.
David Fisher : Thank, John.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to David Fisher for any closing remarks.
David Fisher : Thanks, everyone, for joining our call today. We look forward to speaking with you again next quarter. Have a good evening.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.